Operator: Good morning, everyone. My name is Jayel and thank you for joining the Second Quarter of 2024 Earnings Conference Call for Bragg Gaming Group. Shortly, I will hand the call over to Bragg Gaming Group CEO, Matevz Mazij, who will comment on Bragg’s second quarter performance; and Bragg’s Interim CFO, Robbie Bressler, who will review and discuss the company’s second quarter financial results. If you have not already done so, you can follow this earnings call presentation from Bragg’s investor website at investors.bragg.group, that’s investors plural with an s then go to the Events and Presentations section. On this call, there will be a review of Bragg’s financial and operating results for the second quarter of 2024. Following these prepared remarks, the conference call will be open to a question-and-answer period. Before we get started, I have some brief cautionary remarks regarding certain statements that may be made on this call. Certain statements made on this conference call and the responses to various questions may constitute forward-looking information or future-oriented financial information within the meaning of applicable securities laws. Statements about expected growth, prospective results, strategic outlooks and financial and operational expectations, opportunities and projections rely on a number of assumptions concerning future events, including market and economic conditions, business prospects or opportunities, future plans and strategies, technological developments and anticipated events, trends and regulatory changes that may affect the company and its subsidiaries and their respective customers and industries. While the company believes these assumptions to be reasonable, they are subject to a number of risks, uncertainties and other factors, which may are outside of the company’s control and which could cause the actual results, performance or achievements of the company to be materially different. There can be no assurance that these assumptions or estimates are accurate or that any of these expectations will provide – will prove to be correct. For a complete discussion of these risk factors, please refer to Bragg Gaming Group’s recently filed press release and other publicly available disclosure.
Matevz Mazij: Good morning, everyone. Good morning, everyone. My name is Matevz Mazij. I’m Chairman and CEO of Bragg. On this call, I’m going to make some additional comments, and I’ll run through some key operational highlights from the second quarter of 2024. Then I’m going to pass the line over to Robbie Bressler, our interim CFO, who joined us during the second quarter and who will take you through the company financials. After our financial recap, I’ll be talking more about some of our main strategic and operational focus area before wrapping up with our outlook and summary, and we’ll then open up the call to your questions. Turning now to recent operational highlights. As you are no doubt aware, in the first quarter of 2024, we convened a Board-run special committee to review possible strategic alternatives for Bragg, including a potential sale, merger, acquisition or additional investment into the business. This process is still ongoing and comes against the backdrop of increased M&A activity in the iGaming sector, activity, which has driven additional interest in Bragg. I want to reiterate that the Board will not provide any further updates on the process until we have a material development to report on. In the meantime, management continues to focus on business growth, delivering on its strategic objectives and maintaining our utmost commitment to clients and business partners alike. The company continues to be well placed to capitalize on opportunities across iGaming content and technology globally. During the second quarter, we announced the appointment of Robbie Bressler, who joins us on the call today as Interim Chief Financial Officer. Robbie has a wealth of experience across the iGaming and financial services industries, including from his time at Valid Corporation and Ernst & Young. In May, we announced that Neill Whyte, formerly of Digital Gaming Corporation, or DGC, joined us in the capacity of Chief Commercial Officer in order to lead the next stage of growth at Bragg. Neill is joined by Garrick Morris also previously of DGC as Senior Vice President for Commercial for U.S. and Canada to drive the U.S. rollout forward, something I will talk more about in today’s presentation. I can also announce that we have recently bolstered our legal team and completed our executive leadership team with the appointment of experienced iGaming industry lawyer, Tommaso Di Chio as our Chief Legal and Compliance Officer. I welcome Robbie, Neill, Garrick and Tommaso to the team. And after Robbie has taken you through our second quarter financial results, I will take a moment to give you a snapshot of the highly experienced executive leadership we have now in place, ready to deliver the next stage of Bragg growth and to support any outcome of the strategic review. Turning to our rollout across the United States, we’ve capitalized on our existing relationship with customers by expanding into new states, most notably Pennsylvania, where we recently announced that we launched our new SI Gaming content and technology with MGM and Borgata. We are also pleased to announce at the end of the second quarter, we’ve launched [indiscernible], the local market leader as well as with international bookmaker Battery 365 also in Pennsylvania. We’re also pleased to announce that we’ve recently expanded our relationship with Golden Nugget into New Jersey. And after Robbie has presented the financials, I will show you what all this means for our distribution reach in North America. Over the quarter, we’ve seen excellent growth in adoption of our player account management technology, notably in Czech Republic, where Bragg was able to conclude an agreement with Kingsbet for our full service turnkey solution. Kingsbet becomes our second PAM customer in the country and is already seeing positive growth following its launch. In the Netherlands, our biggest market, we added our sixth PAM customer in HardRockCasino and a deal, which included content aggregation and managed services provision. HardRock is an internationally known and recognizable brand and to be powering their Dutch expansion is something we are very proud to support. Returning to the Dutch market. Over the quarter, we powered the sport book launches of 3 of our existing PAM clients in the Netherlands as they look to take advantage of the UEFA European championship football tournament. The first of these launches was of the metric gaming sportsbook with betnation.nl, a deal achieved through the extension of our existing turnkey relationship with the Dutch licensed operator. Since this initial launch, we’ve concluded similar deals to launch the metric gaming sportsbook with [indiscernible]. Following their Sportsbook license award and have also launched the Kambi Sportsbook with 7-Eleven.nl, a valued TAM customer of Bragg. We are very excited about the potential of these new sports book partners and the way they allow us to enhance our existing relationships with turnkey and ban clients by adding a new vertical. Drawing on this throughout the quarter, we’ve continued to develop and distribute our innovative and exclusive content globally, launching 17 new exclusive games during the period. We’ve expanded the global distribution of our online casino content with Light & Wonder, giving us crucial exposure across regulated markets. And in Italy, we partnered with Sisal to launch in what is Europe’s second largest iGaming market. Now once Robbie has taken you through the financial results, I will come back to take some of these points in more detail before we open the line to your questions. Robbie?
Robbie Bressler: Thank you, Matevz, and good morning to everybody. It’s been great to be a part of the Bragg team for the short period and looking forward to engaging with our analysts and shareholders in my new role. Being part of a growing company that is active in over 30 regulated jurisdictions with a best-in-class product mix and growing coverage of the North American markets is extremely exciting, and I’m looking forward to being part of this success story. Jumping into Q2 results. Total revenue for the second quarter was €24.9 million, a record high, up 0.5% compared to Q2 2023. As expected, gross profit and EBITDA were down compared to second quarter of last year. Q2 2024 gross profit decreased by 10% to €12.4 million, with gross profit margin decreasing to 49.9%. Adjusted EBITDA for the quarter was down 24% to €3.6 million, and our adjusted EBITDA margin decreased to 14.5%. While gross profit and adjusted EBITDA were down year-over-year as expected due to changes in our product mix, we are encouraged to see sequential growth in revenue, gross profit and adjusted EBITDA compared to the first quarter of this year, a time frame in which our product mix has been consistent. We expect to see this growth continue through the second half of 2024 and are reiterating our full year revenue and adjusted EBITDA guidance at €102 million to €109 million and €15.2 million to €18.5 million, respectively, noting that we are currently tracking to the lower end of the guidance ranges provided. As noted on Slide 7, in Q2 2024, revenue from content represented 80% of total revenue, while in Q2 2023 total content revenue represented 77%. PAM and turnkey revenue, however, declined as a percentage of total revenue going from 23% in Q2 2023 to 20% of total revenue in Q2 2024. Proprietary content and exclusive third-party content, total revenue increased by 12% since Q2 2023 with notable positive momentum in the U.S. Proprietary content deployment is progressing well in both the U.S. and EU markets through increased distribution and game performance. These changes in product mix have resulted in reduced gross profit and adjusted EBITDA. However, as mentioned, we are pleased to see consistent growth from Q1 to Q2 in 2024, where our product mix was consistent. Revenue was up 4.4% from Q1 2024, and gross profit and adjusted EBITDA are up 4.4% and 6%, respectively. Turning to the balance sheet. As of June 30, 2024, we held €10.8 million in cash and cash equivalents. During the quarter, we obtained a $7 million secured promissory note from a related party that bears interest at an annual rate of 14% payable quarterly. Funds are being used to provide us maximum financial flexibility as we continue to progress through the strategic review process. I can confirm that post quarter end, the remaining outstanding in convertible debt of $1 million has now been settled in full in cash. Net working capital, excluding deferred consideration, convertible debt and promissory note as of June 30, 2024, amounted to €10.5 million compared to €5.1 million at the beginning of the year. I will now hand over the call back to Matevz to continue with commentary on strategy and operations.
Matevz Mazij: Thank you, Robbie. Now in the next slide, I want to give you a snapshot of who Bragg is and what we’re trying to achieve as a business. Bragg began life in 2018 when it acquired an iGaming technology business that I originally founded back in 2012 called ORYX Gaming. Since 2018, Bragg has secured both a listing on the NASDAQ stock market and the Toronto Stock Exchange. We’re an internationally focused business with offices around the globe, and we have more than 450 employees spread across these offices. Bragg as a business is licensed, certified and otherwise compliant in operational as a supplier of iGaming content and technology solutions in more than 30 regulated jurisdictions globally. We are a diversified business across the whole value chain, participating in multiple segments of the iGaming ecosystem. We deliver our content from multiple in-house content studios and via many partner studios, both through our proprietary remote games, service technology and through our content aggregation solution delivered by our Bragg Hub product delivery platform. In tandem, we’re providing cutting-edge turnkey technology solutions such as the Bragg player account management platform and our innovative Fuze marketing, promotional and engagement tool set. We are also providing a range of managed and operational services to customers worldwide, all supported by a dedicated management team and a highly experienced executive team. In summary, Bragg is a brand trusted to deliver exceptional end-user experiences to million of online casino, online sports betting and online lottery players globally on behalf of hundreds of the world’s biggest iGaming plants. Bragg as a business remains committed to retaining that privileged position and continuing to expand our relationships globally. Supporting Bragg’s continued growth and expansion is a highly experienced leadership team, of which I am proud to be a part of and to lead as CEO. Our recent new hires, Robbie Bressler, as an interim CFO, Tommaso Di Chio as Chief Legal and Compliance Officer; and Neill Whyte as a Chief Commercial Officer, each bring with them a track record of successfully growing iGaming businesses and a wealth of knowledge and expertise from across the industry. They joined an executive team with their own growth success stories. Peter Lavric, our CTO, joined ORYX Gaming back in 2012 and is the chief architect behind what is today the award-winning suite of Bragg iGaming technology and products. With the acquisition of Wild Street Gaming in 2021, we welcome the founder of that company, now our Group Director of Content, Doug Fallon to the team. He is behind our huge growth in content development and production, developing and executing a strategy, which balances high-value proprietary content with diverse and localized games from our valued studio partners. I believe that this combination of extensive industry experience combined with continuity and deep expertise in Bragg’s products, technology, content and vision, all with a track record of delivering growth is what sets us apart and positions us for success. And with that, I want to revisit our core strategy to deliver growth for the company and to unlock value for our shareholders. We aim to drive this value generation through increased revenues and increased profitability. We will do this by continuing to scale up our content business of both proprietary games from our in-house studios and games from our partner studios, which enrich and complete our exclusive iGaming content offering in multiple jurisdictions worldwide. We are growing our regulated market distribution by launching with new customers, upgrading existing relationships and obtaining the necessary licenses and certifications to support our customers in all of the most important regulated and regulating iGaming markets globally. Our content and product delivery offering is differentiated and value-added through our proprietary Fuze player engagement solution, which works across online casino, online sports betting and online lottery products. I will show you how our full product suite, coupled with our technical ingenity allows us to rapidly deploy custom iGaming products, technology, content and services solution in diverse regulated markets, and we are seeing increased demand in these custom solutions. And lastly, we’re always laser-focused on judicious cost control and operational efficiencies in order to maximize recurring profitability and to deliver long-term value. So our ambition is to deliver shareholder value by focusing on these core strategic pillars in order to become a premier global iGaming content and technology providers. I want to take a look at annualized growth rate for Bragg over the past 5 years. As this slide illustrates, Bragg has a proven track record of positive financial growth across both our revenue and adjusted EBITDA metrics going back to the first full year of operations for the company in 2019. As we have constantly pushed to win new business to obtain supplier licenses for new regulated jurisdictions and to continue to develop our award-winning iGaming technology and extensive exclusive content portfolio and earning trust of our customers growth has followed. We’re on track to quadruple our revenues in 5 years and taking our compound annual growth rate for 2019, 2024 period. And for 2024, estimates, we’re taking our guidance midpoint here. We are proud to be on track to deliver 32% CAGR over 5 years for revenue and 76% CAGR for adjusted EBITDA. And we aim to continue with our positive growth story into 2025 and beyond. As Bragg has consistently grown, so has the global iGaming market as a whole, something that analysts project to continue into the future. According to data from H2 Gambling Capital, the global regulated online casino market in 2024 is estimated at $32 billion in gross gaming revenue, and that is projected to almost double to $63 billion by 2029. With our broad distribution reach for content and our ability to rapidly adapt and certify and deployed our iGaming technology for different regulatory regimes, we are extremely well positioned to capitalize on the overall trend towards iGaming regulation in more jurisdictions globally. And crucially, we aim to capture an increasing proportion of this growing global market. Between 2024 and 2029, the global CAGR in iGaming is projected at 15%, rising to a 20% when looking at the North American market alone. These projections are based on the existing regulatory status quo. We’re cautiously optimistic that the new states with significant populations such as Ohio may follow the trend of last few years and introduced a regulatory framework for iCasino in the coming years, further expanding the size of the market in the United States. While online sports betting is regulated in far more U.S. states, it is online casino, our specialty as a supplier, which offers the more stable margins and pressures on the sports bet operators, as evidenced by several brands leaving United States markets in recent months, add to our belief that demand for high-quality online casino suppliers, which help the operators effectively manage the delivery of content, controlled player journey and which delivered profitable growth will only continue to grow in North America. Despite the size and scope of our content and turnkey solutions offering, Bragg’s business model is relatively straightforward in that operator partners utilizing our services, whether for iGaming content, technology or our other services typically pay us a share of the revenue derived from the usage of that content. As the example on the slide illustrates for Bragg to achieve $100 million in revenue share, our operator partners must generate approximately $1 billion in gross gambling revenue through our content, technology and services, which in turn is typically generated from around $23 billion in player wagering. Our business model is scalable. As our customers grow, we grow, as we launch with new customers or enter new markets, expanding our distribution and reach, we grow, and we are not content to just grow with the market. We have a huge opportunity to grow our share of the market. Taking the U.S. market alone, today, our share of the online casino market as a content provider to U.S. operators in less than 1%. We are already on track to double wagering in the U.S. in 2024 compared to last year, and we are focused on continuing to aggressively grow our market share in this growing market. Focusing in on the United States, we take an operator-centric approach. And in the first half of this year, we have been reconnecting with our customers to understand exactly how our content can deliver for their strategies. I already mentioned that our U.S. wagering is set to double in 2024 compared to last year. And as we continue to refine our content road map to deliver for our customers, simultaneously, we are expanding our reach, giving our new content launches, greater impact. Our second quarter operator launches with [indiscernible] BetMGM in Pennsylvania and our recent launch with Golden Nugget in New Jersey take us to approximately 70% market reach in the U.S. today for our newest games and technology. That’s up from around 50% at the end of the first quarter of this year. And the momentum is set to continue. We’re on track to be live with our newest content with all of the key operators listed as well as with other valued operators partners, taking us to approximately 90% coverage of the U.S. market by the end of the year. We’re excited about the U.S. because of the opportunity, but in all, we are licensed certified or otherwise compliant in over 30 iGaming jurisdictions globally, including the largest regulated online casino markets in the world. Our extensive global network allows us to leverage not only our exclusive content portfolio, but our entire suite of iGaming technology, products and services. For example, our Bragg hub aggregation, coupled with Fuze player engagement is currently in high demand in LATAM and is poised to play a crucial role for operators looking to enter the market. By leveraging the platform, operators gain immediate access to a comprehensive portfolio of content right from day 1 with the added benefit of being able to leverage all the great engagement tools we offer through a single integration. The combination of our content and technology not only enhances for opportunities, but also positions Latin America as a key region for us moving forward. Meanwhile, in highly regulated and established iGaming market in Europe, we are seeing continued success in our PAM and turnkey solutions delivery. In providing these solutions, we’re leveraging data and our agility strengths to optimize the online casino, sportsbook and lottery performance of an ever-increasing number of customers as illustrated in the table show. We’re specialists in developing custom built and fully localized PAM solutions for regulated iGaming markets. And as proof of this, we’ve added two new PAM customers and have powered the launch of three additional sportsbook products for our customers since the start of the second quarter. Its extensive experience in product delivery, along with our data-driven approach to product development gives us a competitive advantage, which we pass on to our PAM and turnkey customers. It’s an advantage which helps our customers control the player journey, providing the right content in the right place and importantly, at the right time. Delivering the full gaming ecosystem also enables opportunities for us to optimize the delivery of our own exclusive content portfolio, adding extra value for Bragg and its shareholders. And we’re not resting on our laurels. We’re constantly innovating using our game recommendation engine and the latest in AI-driven insights to revolutionize existing iGaming marketing strategies, creating more effective campaigns and maximizing profits for our customers. Maximizing profits for our customers, obviously means maximizing profits for Bragg. We have invested significantly in our remote gaming server, which hosts and distributes proprietary and third-party exclusive game portfolios. The scalable platform facilitates future growth through existing infrastructure for new games and distribution. I am pleased with our continued growth in new titles over the quarter with 17 exclusive games being released in the second quarter of ‘20. This included a record 12 from Bragg’s own proprietary studio. As illustrated here, content from Bragg Studios is a high-margin product for Bragg, while our powered by Bragg partners provide crucial diversification for the business globally. We’re building a critical mass of revenue-generating content even as we release new games, existing content continues to generate revenues in the long-term. We will focus on delivering our road map of top-performing games as we move into the second half of the year. And our latest game releases in the first half of the 2024 have been positively received by customers and will continue to monitor track and respond to trends and feedback from customers as we move into the third quarter and beyond. We also continue to invest in our Fuze platform, developing deeper relationships with our partners to maximize player engagement and to provide exceptional player experience. With the introduction of the casino and sportsbook engagement tools such as jackpots and recommendation engines, we allow our operators to fully control the player journey and, therefore, maximize operator profits, which in turn grows back profits. Our product owners and analysts leverage the extensive data points we track to constantly optimize our algorithms and improve our engagement tools. We put the end user first, developing engaging content solutions and using data to enhance their experience. And because we know our own product best, our teams work hand in hand with operators to unlock the value of our tools in order to reach their specific goals, whether that be player sign up, retention or VIP management, always with the goal of providing a differentiated engagement experience and enhancing the player experience in order to maximize profits. We have a lineup of operator promotions that we will be running on our key titles through our engagement platform, something which not only gives our customers a chance to see the tools in action. It allows them to optimize and improve these where needed, giving operators a glimpse into the amazing results, which can be delivered through the custom promotions available. And so to conclude, Bragg’s second quarter revenue grew by 0.5% compared to the same period of last year to €24.9 million, representing a record second quarter for the company. Our adjusted EBITDA in the second quarter of 2024 dropped by 24% year-over-year to €3.6 million, while our gross profit decreased by 12% to €12.4 million over the same period. As Robbie has discussed, these expected decreases were due to changes in our product mix. However, we are pleased to report that revenue, adjusted EBITDA and gross profit were up on a sequential basis when compared to the first quarter of 2024, and we are expecting robust trading in the second half of the year. We have already increased our distribution coverage in the United States, for our U.S. content to 70% of the total addressable market, and we are projecting to increase that to 90% coverage by the end of the year. As Robbie discussed earlier, remaining convertible debt has been settled in cash post quarter end. We are currently tracking to the lower end of our full year revenue and adjusted EBITDA guidance with ranges of €102 million to €109 million for revenue and €15.2 million to €18.5 million for adjusted EBITDA. Finally, we shared that the special committee continues to advance the strategic alternatives review process, and I want to reiterate that our Board and management team are 100% focused on all opportunities for maximizing shareholder value. Thank you for listening. I would like to take this opportunity to pay tribute to the entire Bragg team for their continued unwavering hard work and commitment during this quarter. And now, I will turn the line back to the operator and Robbie, and I will be happy to take any questions.
Operator: [Operator Instructions] Your first question comes from the line of Gianluca Tucci of Haywood Securities. Your line is open.
Gianluca Tucci: Hi. Good morning guys. Just on the outlook. If you look beyond this year, like, where do you expect the bulk of the growth to come from? You have done a good job growing outside of North America, but like, what’s it going to take to see that similar type growth here in North America?
Matevz Mazij: Hi Gianluca, this is Matevz speaking. As we expand our distribution network in North America, launching new clients in United States and launching new jurisdictions, new iGaming jurisdictions in the United States. And hopefully launching new jurisdictions in both Latin America and potentially Canada, we will see growth coming from proprietary content and third-party exclusive content. And we will see growth coming from PAM and managed services, particularly in Latin America. We will also see growth in both proprietary and third-party content to exclusive content, distribution and improved positioning and improved usage of our content in Europe, and we will hope to see new regulations or new jurisdictions regulated in Europe where clients are going to use our turnkey solutions.
Gianluca Tucci: Okay. Thanks Matevz. And like just on the customer mix, Bragg has had a couple of new PAM customers announced. I am just wondering, how does the pipeline – how does it look at this point in terms of the combination of potential PAM new customers and potential new content partners or new content customers, how is the pipeline split right now?
Matevz Mazij: So, we have a very strong pipeline of turnkey solution clients. So, these are clients that use our PAM, our managed services, obviously use our product delivery platform hub, where we deliver aggregated content. And if that is the case, also third-party managed sportsbook. And all of these clients are automatically our proprietary content clients. So, we have a number of those types of clients in the pipeline, both in LatAm and Europe, what we call the rest of the world market. We also have a number of clients in the pipeline in both Europe and North America that are potentially taking our hub, our aggregation platform and our proprietary third-party content. And I would think that we are currently very focused on getting our content distributed primarily in North America. I think that the biggest growth is going to come from that market, but equally, obviously, trying extremely hard to win deals that are on our desks for PAM and turnkey.
Gianluca Tucci: Thanks for that Matevz. And then just lastly, perhaps for Robbie, but in the past, it was mentioned that the company expects to return to growth on gross margin in ‘25. Is that still the plan as of today, Robbie?
Robbie Bressler: Yes, I believe so. So, as Matevz mentioned, as we increase the concentration of PAM and managed service customers and RGS exclusive and proprietary content, we should see our profit margins increase. And I believe we are on track to start seeing that.
Gianluca Tucci: Okay. Thanks guys.
Operator: Thank you. Your next question comes from the line of Jordan Bender of JMP Securities. Your line is open.
Unidentified Analyst: Good morning everybody. This is Eric on for Jordan. My first question for Robbie, I know it hasn’t been long with the company, but is there anything you look to change within the business from a financial perspective?
Robbie Bressler: Correct, it hasn’t been very long, but it has been a very busy July. I think from a financial perspective, having a good strength in our balance sheet and good optionality when it comes to opportunities we want to invest in is important. So, pending the outcome of the special committee, I think we will look to see what can be done to have those sorts of options for us. I think having the loan that we received recently has helped just with flexibility, but more medium to long-term, assuming we are operating status quo. I think the market is right for interesting opportunities potentially from a partnership or M&A perspective. And I again want to have the flexibility in our balance sheet to be able to potentially pursue something like that.
Unidentified Analyst: Great. And just a follow-up, you guys have been speaking on the past few quarters from entering new and regulated markets. Has that progressed and should we expect a normal ramp within those markets? And separately, New Zealand is looking to legalize online gaming in some fashion? Is there any opportunity to expand there? Thank you, guys.
Matevz Mazij: Yes. So, we have recently entered the market, the newly regulated market in Peru. We obtained the approvals and are obviously allowed to distribute content in that market. We are very, very active in the recently regulated Brazilian market. We are very, very excited about new jurisdictions such as New Zealand, Finland and some other markets in Europe that is obviously unclear as to what the timeline is going to be. And we are not only obviously closely monitoring, but actively participating in conversations with potential operators in those markets. There is hopefully going to be movement in the U.S. as well, where we hope that there are going to be new jurisdictions that are going to allow iGaming in the future. And we are very positive about our ability to deliver. We have always been on the forefront of that process and one of the first companies that have entered these markets. I mean a very good example of that is Holland, where we launched pretty much day one and have seen major success coming from that, and we are gearing up for these changes in these jurisdictions and expect to be seeing similar success in some of these jurisdictions, whether it’s going to be PAM or turnkey or just aggregation of content yet to see, but we are optimistic about that, yes.
Operator: Your next question comes from the line of Jack Vander Aarde of Maxim Group. Your line is open.
Jack Vander Aarde: Okay. Great. Good morning. Thank you for taking my questions. Hey Matevz, maybe a question on just circling back on the U.S. U.S. revenue has been around 1, 1.5 – €1 million to €1.1 million, it looks like, in the first quarter and the second quarter. Maybe just a little more color. Do you expect this quarterly run rate of like €1 million to start picking up significantly then as your U.S. coverage kind of ramps up towards that 90% as you exit the year? Just trying to get a sense of what you expect in like a revenue actual uptick – it has been that €1 million range. Thanks.
Matevz Mazij: Yes. So, as mentioned in my presentation, we are expected to see our wagering double this year. And we are not only focused on distribution and network. We are also very aggressively increasing our wallet share within individual operators with our activities related to placement and promotions with custom games, with exclusive games. And with closer partnerships with those operators, we are trying to deliver what these operators want, I am trying to understand what their content strategies are moving forward, and we want to be a part of that conversation and deliver the content that is going to be adopted by their audiences and allow them to use the tools that are going to increase the conversion rates, the retention rates. And at the end of the day, allow them to control the player journey, which will eventually allow us to understand the market better and deliver better content and yet again, increase the wallet share and potentially not only double the wagering amount, but see higher multipliers in the next few quarters.
Jack Vander Aarde: Okay. Got it. Thank you and helpful. And then just maybe just one more for me, I am just curious, given the Olympics season here. Just has this been impacting your customers at all? Is it a distraction, just more stuff for players to be betting on? Is it an overall benefit? Just what are your thoughts on how the Olympics is kind of impacting the current seasonality? Thanks.
Matevz Mazij: I don’t think the Olympics have impacted the results of our operators. July, August to a certain extent September is always sort of a low season. Euro was much more important for our operators, and we have seen operators acquire and convert larger amounts of end users. And that was very positive, obviously for them and essentially for us, and we are going to see results of those – of that event of euros and possibly also Olympics, but it’s less impactful in the rest of the year.
Jack Vander Aarde: Okay. Great. I appreciate the color. Thank you.
Operator: With no further questions, this concludes today’s conference call. You may now disconnect.